Operator: Good day, and thank you for standing by. Welcome to the StealthGas Inc. First Quarter 2025 Results Conference Call and Webcast. At this time, all participants are in listen-only mode. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Michael Jolliffe, Chairman of the Board. Please go ahead.
Michael Jolliffe: Thank you very much, Nadia. Good morning, everyone, and welcome to our first quarter 2025 earnings conference call and webcast. I'm Michael Jolliffe, for those who don't know me, Chairman of the Board of Directors. Joining me on our call today, as usual, is our CEO, Harry Vafias, to discuss the market and company outlook, and Konstantinos Sistovaris to discuss the financial aspects. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements which reflect current views with respect to future events and financial performance. So please take a moment to read our disclaimer on slide two of this presentation. Risks are further disclosed in StealthGas Inc. filings with the Securities and Exchange Commission. So let's proceed with the presentation. Starting with some highlights on slide three. Today, we released our results for the first quarter of 2025. It was another successful quarter in what can be described as a tumultuous market. We generated $42 million in revenues during the first quarter, compared to $41.6 million last year, and $43.5 million in the previous quarter, demonstrating resilience in terms of commercial operations. Adjusted net income for the first quarter of 2025 was $16.1 million, similar to the fourth quarter of 2024, albeit somewhat lower than the first quarter of 2024, mostly due to increased expenses as shall we discuss later on. In terms of earnings per share on an adjusted basis, these were $0.44 for the quarter. In this volatile environment, our high period coverage allowed us to sustain the high profitability we have been experiencing over the past year for yet another quarter. In terms of our strategic objectives, we are close to completely deleveraging the company. We have reduced debt by $54 million this year, bringing the current debt level close to just $30 million currently while maintaining a free cash balance of more than twice that figure. So the company is now debt-free. All the vessels in our fully owned fleet of thirty-one ships are debt-free except for just one vessel that currently has a mortgage. Deleveraging also means that going forward, we are accumulating cash much faster. With regards to our share repurchase program, during the last call, we announced that we will be authorizing additional share repurchase which and since then, management has spent approximately $1.8 million in buying back shares, in what we consider a sound use of our liquidity given that the stock continues to trade at a steep discount to net asset value. We are further delivering on our strategic priorities by keeping a visible revenue stream. It was difficult commercially to expand on this strategic objective as the sentiment was not there. We have managed to maintain period coverage for 2025 of 70% of our fleet days, and have now secured over $165 million in future revenues. In terms of our fleet, the strategy, which is to conservatively diversify and renew, we saw some activity lately. During the first quarter, one joint venture vessel was sold as previously discussed. In April, we found a buyer for another one of our vessels, the Gas Cerberus, that we expect to deliver in June. Then last week, we came into an agreement with our joint venture partners to acquire their share in two vessels that we jointly own, the Gas Harlanbos and the ECA Lucidity. We also expect this to conclude in June, so that our fleet will see a net increase by one vessel to twenty-nine. We will continue to look for opportunities to sell some older tonnage and possibly replace it with newer tonnage. Let us move on to slide four for some more details on our fully owned fleet employment as it looks today. Just like in our previous call, period interest from charters was relatively low and mostly focused in Europe. As a result, we only concluded three period charters, two of which were extensions. One was for six months and the other two for one-year duration, all three related to trades in the west. That currently leaves us with five vessels operating in the spot market and two more vessels than in our previous call. Two of the vessels in the spot market are the larger handy sizes. The company's chartering strategy is to fix some period charters when possible and profitable, so we are looking to extend the duration of our charters. Although a couple of ships were redelivered overall, we have managed to maintain the visibility of our earnings to a high 70% of available days for 2025, and have secured about $70 billion in revenues for the remainder of this year. Our one-year forward coverage is at 60%. Total revenues secured for all future periods up to 2027 were reduced to $165 million. During the first quarter, one vessel entered dry dock towards the end of March, and we have scheduled dry dockings for three more vessels for the remainder of the year. It is a fairly light year in terms of drydockings. In terms of our fleet geography presented in slide five, our vessels are mainly engaged in regional trades, short trips that can last just a couple of days from load port to destination, delivering gas to customers from major coastal ports down to draft-restricted destinations inside rivers. We continue to focus the majority of our fleet, over 55%, west of Suez in Europe, particularly in the northwest and in the Mediterranean. The remainder of our fleet is evenly scattered around the globe. Our larger vessels, that is the handy sizes in the MGCs, do intercontinental voyages, and, for example, we have a couple more vessels in the US at this time, and are set to load in the US Gulf discharge their cargo in Europe. It is telling that in the first quarter of 2025, the US accounted for 63% of imports in Northern Europe, up from 55% in the previous quarter. We believe that in the short term, the market will continue to pay premium rates west of Suez as there continues to be a shortage of suitable well-maintained vessels in Europe. European ports and charters adhere to very strict regulations on vessel conditions and safety records. In addition to recently imposed environmental regulations, related mainly to carbon emissions, a situation favoring established owners or owners with good management records. As a result, older vessels that are actually a high percentage of the overall pressurized LPG fleet are not always suitable for European trades, and can more easily find employment in the Far East or other places where regulations are not as demanding. In relation to the Red Sea situation, there have been no attacks recently, and things are getting back to normal, leading to more vessels crossing the Suez Canal. This could lead to an increase in Middle Eastern exports going to the Mediterranean, and, in fact, we have recently been engaged in such a trade. We should also mention that over the last year, we have been increasingly engaged in ammonia trades that our Handys and MGC vessels can carry. We believe there is great potential in ammonia trading although for the time being, it's still in relation to fertilizer production and what volumes may be used for fuel production remains to be seen. Finally, I should mention, as far as it relates to the US port fee for policies, it has always been our policy to acquire assets that have been built in the most reputable and highest quality yards even if we had to pay more for them. As such, the majority of our vessels are built in Japan, and some of the larger ones in Korea. No vessel in our fleet was built in China. In slide six, I will update you on our joint venture investments. Starting in 2019, we have through two joint ventures invested in nine vessels, four small gas carriers and five medium gas carriers, and through the course of the year, with the joint ventures being more opportunistic plays, sold most of these, including one that we took back in our own fully owned fleet last year. During the course of this year, one pressurized vessel was sold in January. The debt on the two remaining pressurized vessels was repaid in March. As of March 31st, our investment consisted of just three vessels, two pressurized LPG carriers, and one medium gas carrier, with the book value of the investment being $27.3 million. Out of the three vessels, two of these are operating in the spot market, while the one pressurized vessel is on period charter until December as announced during the previous call. There are no forthcoming dry dockings during 2025 for any of these vessels. During last week, we came into a principal agreement with one of our joint venture partners that since their investment after six years has come full circle. To acquire back their half ownership share in the two pressurized vessels, the Gas Harlanbos and the Eco Lucidity, and we expect a cash outflow close to $10 million subject to final valuations. This agreement is subject to being formalized, but all going well, we expect to have it concluded and take delivery of the vessels within the next two weeks and before the end of the current quarter. From our standpoint, we are familiar with these vessels and their good condition, and we are taking them at a favorable price. This will leave a single vessel jointly owned, the medium gas carrier, Eco Sorcerer, that was built in 2023. I will now turn the call over to Konstantinos Sistovaris for our financial performance. Thank you.
Konstantinos Sistovaris: Thank you, Michael. I will discuss the financial results that were released today. Starting with slide seven, where we have a snapshot of the income statement for the first quarter of 2025 against the same period of 2024. Due to sale and purchase transactions that took place over the period, there was a very small increase in fleet days of 2%. TCE or net revenues, that is the revenues after the voyage expenses, came in at $36.9 million for the quarter. A decrease of $1.8 million or 4.6%. This was due to the weakness in the spot market, while most vessels on period performed well, there were at times between four and five vessels operating in the spot market, generating increased voyage costs due to bunkers but not generating enough revenue to compensate for that. Two of the vessels were handy sizes, and they had the biggest variances. Operating expenses were $13.5 million for the quarter, a 17% increase, mainly due to higher crew costs and maintenance fees. It should, however, be noted that it is actually last year's number that was unusually low due to one-off items, whereas this year's OpEx was more in line with our cost structure, and, actually, slightly lower than in the fourth quarter of 2024. This quarter's results also included some dry docking expenses of $0.4 million mainly relating to the drydocking of one vessel during the end of March. There was no dry docking during the same period of last year. Similarly, the first quarter of 2025 results were also impacted by an impairment of $0.5 million for the vessel Gas Cerberus bringing down its value to the value that was agreed later in April that it would be sold. The vessel is still in the fleet, and it should be delivered to the buyers in June. There were no impairments for the first quarter of last year. Interest cost more than halved to $1.4 million during the first quarter of 2025 as a result of the lower debt levels. This number also contains an amortized portion of finance expenses. We expect that interest cost will be further cut in half in the following quarters. Net income for the first quarter was $14.1 million compared to $17.7 million for this same quarter of last year, a 20% decrease on an adjusted basis. Net income also marked a 15.7% decrease from $19.1 million to $16.1 million. Overall, $14 million in profits for the quarter is a high number, and although reduced compared to last year's record, it is actually on par with the fourth quarter of 2024. In terms of earnings per share, that was $0.38 on an adjusted basis, $0.44. Looking at the balance sheet in the next slide, slide eight, given the relatively uneventful first quarter of 2025, the balance sheet as of March 31st is fairly similar to that of December 31st. Cash, including restricted cash, was at the end of the quarter $77.1 million, a 9% reduction as cash was used for debt repayments, but still very solid for a twenty-eight vessel fleet with very low debt. There were no vessels held for sale as of March 31st, as the Gas Cerberus sale was agreed in April after the close of the quarter. On the liability side, the current portion of debt was $20.7 million and includes the $18.6 million facility that was due to mature in December of this year, but was actually repaid early in April. While the long-term portion of the debt is where the big variance for this quarter was. It stood at $61.5 million as of December 31st, and was reduced to $30.3 million as of March 31st. The other quarterly variance was that the shareholders' equity increased by $14.8 million over this three-month period as a result of improved profitability. Moving on to slide nine, to reiterate the debt situation as this is where the strategy has been focused in the past couple of years. So for the past fifteen years, the company's debt has been oscillating in the range of $300 to $500 million. Since the beginning of 2023, as interest rates rose significantly, and thanks to the improving cash flow generation, the company embarked on a massive debt reduction effort initially aiming to reduce debt, but as things turned out, with the opportunity to eliminate debt altogether. In 2023, $154 million was repaid. In 2024, while the company took on $70 million for the two vessels that were acquired, then $108 million was repaid. Then in the first quarter of 2025, another $32 million was repaid. And during the current second quarter, another $22 million, bringing the total debt repaid during 2025 to $54 million, with just a single facility remaining, totaling $32 million, which matures in 2032, versus a free cash balance of more than double and making the company net debt-free. Debt amortization is now reduced to just $2.2 million per annum, compared to $28 million per annum just two years ago. That has allowed for significantly faster cash flow accumulation going forward. If we manage to keep operating cash flow at current levels, we are looking at a run rate of close to $100 million per annum in cash flow generation. I will now hand you over to our CEO, Harry Vafias, who will discuss the market and the company outlook.
Harry Vafias: On slide ten, we are discussing the LPG market. As we have previously said, over the last three years, global LPG exports are on a steady upward path and marked an increase in 2024 of 4.4%. It looks like it's on track to register similar growth for the first half of 2025. The world's largest exporter, the US, after having registered an impressive 11% year-on-year growth in exports last year, shifted gear lower but still marked a solid 8% year-on-year growth for Q1. It was actually in the current month of May that propane exports from the US for the first time broke a new record surpassing two million barrels per day. US and NGL exports are facing capacity constraints but we are already approaching the first planned capacity additions, starting with Energy Transfer's Nederland, Texas terminal, that will export an additional 250,000 barrels per day in the second half of 2025. And then after one several more expansion projects are completed by 2028 in the US Gulf, the Eastern Seaport as well, as in Western Canada, volume should increase by over 25%. Now these increased volumes are about to compete with Middle Eastern exports, and we have not discussed recently Middle Eastern exports as the region has been losing market share being supplanted by a dominant US. However, traditional LPG exporters like Saudi Arabia, Qatar, and UAE are also looking to strengthen their exports lately. In particular, Qatar and UAE have projects underway mostly related to LNG like the Northfield expansion by Qatar Energy that are also going to increase their LPG production significantly before the end of the decade. In the short term, we should expect increased LPG volumes. LPG being a byproduct of both crude oil and LNG production, coming as a result of the decision by OPEC to gradually lift all production cuts starting in April. In fact, the latest OPEC decisions in May show that they intend to triple the production increases and potentially bring back to the market the 2.2 million barrels per day voluntary oil production cuts before the end of this year instead of late 2026 as was originally envisioned. Looking at the other side of the equation, the two largest importers in Asia, China and India, preliminary figures for the first quarter show that both increased their LPG imports. China with a more subdued 8% year-on-year, and India at a stronger 10% year-on-year. Imports in China were particularly volatile but declined compared to the previous quarter. This was the result of geopolitical tensions. In our last call, we had said that during the first phase of counter tariffs, LPG was spared since China depends for over 50% of its imports on the US. However, the decisive month proved to be April and the escalation of the trade war led to China retaliating by imposing tariffs of 125% on US LPG and ethane. This led initially to a collapse in the charter market and an abrupt pause in trade. Fairly quickly, volumes were rerouted to China looking to the Middle East to get its supplies. However, the capacity is not there yet. In a swift turn of events, there was a de-escalation in May, and the two countries entered a 90-day truce whereby tariffs on US LPG imports were reduced to only 10%. Since then, we have seen flows normalizing. There's not much point in speculating what will happen next. What we could infer is that this climate in the medium term may lead LPG importing nations diversifying their sources creating new trade routes in the process that could be positive for ton-mile demand. In the longer term, we continue to see Chinese demand being driven by the PDH plants that need LPG for propylene production. And while in the short term, more than 25% of the capacity remains offline, plants continue being built that should underpin long-term demand. Three more we expect this year bringing total capacity to 27 million tons. On slide eleven, we are updating you on the shipping market. In general, the situation was similar to the previous quarter with the exception of the larger ships that are more affected by a worsening sentiment due to trade tensions. Looking at the small pressurized ships, the majority of our fleet we saw a firm spot market in Northwest Europe during Q1, where the majority of the fleet is located. In addition to the seasonality factors, the cargo volume was good and particularly the seaborne LPG importing to Poland were strong following the EU ban on Russian LPG. This resulted in quite a tight tonnage situation and firm spot rates for the owners. The TC market continued along with historically high levels through Q1 there's still interest from charters to lock in tonnage forward which shows continued optimism for the future. See a major difference between the spot markets east and west of Suez, with the western market yielding superior returns to the owners. As StealthGas Inc. has been doing for some time. The spot market east of Suez remains quite soft and liquid, and owners prefer to lock in TCs where they can and period rates remain more or less flat. For the hand-sized vessels, the market continued in Q1 in a similar manner as 2024 ended with a weak trading environment for LPG and with petchems pulling the majority weight. The time charter market was relatively quiet through Q1, some TC extensions were heard but limited new inquiries came out. We have seen more TC action during the first half of Q2 where several deals have been done. Rates remain relatively stable. The order book for handy sizes remains slim, with no delivery scheduled for this year, and this should logically support the period market. For the MGCs, the MGC spot market continued to soften through Q1 as more vessels were delivered from TCs and charters found themselves with ample tonnage to choose from. We have since the end of Q1 in a very volatile VLGC market with a massive crash in April and then a significantly firming market, where VLGC rates at the time of writing are at a one-year high. This could pave the way for a better MGC market in the second half of this year. The order book provides for a more limited number of deliveries for this year, but we need to see a change in the market sentiment for TC rates to improve. Beginning 2026, we are going to gradually see more vessels joining the fleet. We have touched on this before and how the large order book in this segment of over 50% of existing capacity should be worrisome until lower and less the ammonia market expectations kick off. On the plus side, since our last call, the pace of ordering has slowed down significantly. Looking at the order book on the handy size fleet, we continue to see very limited interest from owners for new vessels. In fact, there were no new orders since our last call and no vessels delivering this year. The order book remains healthy for this type. As far as our core fleet of pressure ships, we saw very few more vessels being ordered since our last call, around ten. Some of these have gone unreported since our delivery. But overall, the order book ratio continues to be normal at around 7% for the next three years. We continue to stress that the pressure fleet is quite old, with over 30% of the existing vessels over twenty years of age and the fleet will need to be replenished. Owners are keeping older vessels trading sometimes even up to thirty years old, and still refrain from scrapping. But even without scrapping, it is increasingly getting difficult for older ships to trade in international markets especially in Europe given the safety and environmental regulations. On slide twelve, we are applying some key variables that may affect our performance in the quarters ahead. Summing up, the results that we announced today point to a strong start to a year and underpin our confidence in sustaining the momentum we have built over the last years throughout 2025. There's no doubt a period of uncertainty that demands cautiousness. That being said, despite all the upheaval witnessed so far, the data from Q1 has shown that almost every major importer of LPG with the exception of Japan has actually increased its LPG imports, while the major exporters in the US and the Middle East have significantly increased exports. And while we have no data for the second quarter, the bellwether VLGC market is currently at yearly highs. In this volatile environment, StealthGas Inc. remains steadfast in its strategy and has all but eliminated its financial risk being net debt-free after having made over $50 million in debt repayment during this year and having 27 out of 28 vessels unencumbered. At the same time, in order to return value to our shareholders, we have begun buying back shares, spending $1.8 million in share repurchases since March and over $21.2 million in share repurchases since June 2023. We have now reached the end of our presentation. I'd like to thank you for joining us at our conference call today. And for your interest in our company. We look forward to having you again with us at our next call for our second quarter results in August. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Have a nice day.